Operator: Welcome to the Dolby Laboratories conference call discussing fiscal first quarter 2007 results. (Operator Instructions) I would now like to turn the conference over to Mr. Kevin Yeaman, Chief Financial Officer for Dolby Laboratories. Please go ahead, Mr. Yeaman.
Kevin Yeaman: Good afternoon. Welcome to Dolby Laboratories first quarter fiscal 2007 earnings conference call. Joining me today is Bill Jasper, Dolby Laboratories President and CEO. In addition, Tim Partridge, General Manager of Dolby's Professional Division; Ramzi Haidamus, General Manager of Dolby's Consumer Division and Marty Jaffe, Executive Vice President of Business Affairs are here to participate in today's Q&A. On this conference call, we will be making forward-looking statements that include projections of future operating results for our fiscal year ending September 28 2007; market trends for the industries in which we compete, and our expectations concerning how those trends will affect our operating results; our ability to expand our presence in existing markets and to penetrate new markets; the capabilities and market acceptance of our products and technologies; and our strategic and operational plan. Important factors that could cause the actual results to differ materially from those in the forward-looking statements are detailed under the section captioned Risk Factors in our most recent annual report on Form 10-K and any subsequently filed quarterly reports on Form 10-Q, available at www.sec.gov or on our website at www.dolby.com under the Investor Relations section. Dolby disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. As for the structure of this call, Bill will begin with an overview of the quarter and I will follow with a rundown of Dolby's financial results. So with that introduction behind us, I will now turn the call over to Bill.Bill Jasper: Thank you, Kevin. Good afternoon, everybody. I'm very pleased to report a solid first quarter with net income of approximately $30 million on revenue of over $104 million. We entered 2007 with a solid proven business model, a globally recognized brand, a technology presence across diverse markets and a focus on delivering new and compelling innovations throughout our markets. Through our professional division, we continue to execute on our strategy of working closely with content creators and studios on the preparation and delivery of Dolby-enabled content to consumers. In our Consumer division, as the public experiences entertainment through a wider variety of mediums, our objective is to continue to include Dolby technologies everywhere, in order to deliver the best entertainment experience possible. This year's International Consumer Electronics Show clearly illustrated the opportunities ahead. Today I would like to discuss some of the key trends observed at CES and how we are positioning Dolby for each; and then, cover new innovations from Dolby. First, at CES the high definition roll out, including HD television and the next generation DVD, was a strong theme at CES. In the HDTV market, manufacturers continued to introduce new LCD and plasma models at lower price points for consumers. According to industry research, prices of flat panel displays have been trending down by 25% per year, which has increased the demand for these products. Many of these flat panel displays contain Dolby Digital in accordance with the ATSC digital turner standard mandated by the FCC. On the content side, HD programming and content continues to grow, benefiting Dolby in several areas: First, through our professional division we deliver the products and services to encode programming in Dolby Digital. Second, an increased supply of HD programming in North America positively affects the television upgrade cycle, from which we are well positioned to benefit through the inclusion of Dolby Digital and the ATSC digital tuner standard. Third, similar increase in HD programming in Europe is helping to drive the adoption of HD set top boxes across Europe, in which we believe Dolby Digital is becoming a de facto standard. In the next generation DVD category, LG Electronics launched its hybrid player, both Blu-Ray and HD DVD disks. In addition, many other leading manufactures demonstrated their next generation DVD offering. With Dolby Digital Plus and Dolby true HD mandated in the HD DVD format and with Dolby Digital mandated in the Blu-Ray format, we believe we are well positioned for this market. We also saw additional HD camcorders by Sony and Panasonic that contain Dolby Digital 5.1 Creator, enabling users to record in Dolby Digital 5.1 sound, while creating home studio content. A second CES theme was the continued move by PC and gaming leaders to become the central media hub in the home. Microsoft showcased its Windows Vista operating system, which pointed to a greater emphasis on media center elements in its Ultimate and Home Premium editions. Both of these editions integrate Dolby Digital 5.1 decoding for DVD movie and digital television viewing and give people the ability to create DVDs with Dolby digital sound tracks. Sony demonstrated a new Vio media center PC, which included Microsoft's Windows Vista Home Premium edition, featuring Dolby Digital technologies. This PC also includes support for the playback of Blu-Ray disks, a TV tuner with ATSC support and the ability to create DVDs with Dolby Digital 5.1. We saw a similar push from game console manufacturers. For example, Microsoft announced it would extend the media capability of the Xbox 360 by eventually including IPTV. Today, Dolby Digital is included in the Xbox 360 for game play and movie playback while Sony's PS3 contains Dolby Digital for gaming, Dolby Digital 5.1 for DVD playback and Dolby True HD for decoding of up to 5.1 channels in Blu-Ray. Finally, portable entertainment remained a strong theme throughout CES as many companies look to deliver audio and video to consumers on the go. In the notebook PC market, leading manufacturers, including Toshiba, LG Electronics and Lenovo demonstrated media-centric PCs developed for the Dolby PC entertainment experience initiative. This initiative provides a suite of technologies enabling PCs to deliver a home theater experience with high fidelity quality. These PCs, in addition to featuring Dolby Digital, include Dolby headphones, Dolby Virtual Speaker, Dolby Pro-Logic 2 and Dolby Digital Live. In the handheld category, a number of manufacturers showcased new portable media players. Currently our participation in the handheld category is limited, representing a new opportunity for Dolby. Today we receive a portion of royalties from each iPod through our Avia subsidiary. Going forward, we remain focused on driving the adoption of additional Dolby technologies complementary to the handheld form factor. Turning to innovation, in addition to focusing on trends in HD, Media Center and portable entertainment, we remain committed to delivering new innovations across our markets. We've recently demonstrated Dolby Volume to wide acclaim across the consumer electronics industry. One of the first markets Dolby Volume will address is televisions where it can be included to eliminate the annoyance of inconsistent sound levels across broadcasts, as well to deliver a robust and vibrant audio experience at a low volume. In addition to the Television category, we believe Dolby Volume can provide a real benefit to consumers through its inclusion in AV receivers and other devices. We are working with the licensees and hope to see initial televisions with AV receivers that include Dolby Volume in the market by the end of calendar year 2007 and the beginning of calendar year 2008 respectively. In our Professional division, we continue to make progress in delivering Digital Cinema to the industry with over 280 Dolby Digital Cinema Systems employed globally. In addition to currently shipping JPEG 2000 capable systems, we've upgraded almost all the installed base of Dolby Digital Cinema Systems to be JPEG 2000 compliant. Last time we spoke about the next enhancement to our Digital Cinema System, 3D. I'm pleased to report that it is progressing well and we have recently started demonstrating it to the filmmaking community. In Professional Broadcast, 239 channels worldwide, including 119 in Europe, are using Dolby Digital On Air. Also in Europe, 3 IPTV service providers -- Orange, British Telecom and T-Mobile -- will be delivering content using Dolby Digital. In summary, we are well positioned for the future. Dolby technologies are becoming incorporated in a greater variety of consumer devices. As we move forward, we remain focused on extending our core technologies across existing and new markets, driving the adoption of new Dolby technologies and capitalizing on our brand, reputation and experience across the industry to generate additional long-term growth opportunities. Our synergistic business model of providing technologies and products to assist our customers at all levels of the entertainment chain to create, distribute and playback content has been and will continue to be a key factor in driving our success. I will now turn the call over to Tim.
Tim Partridge: Thank you, Bill. Moving to our financial results, revenue for the first quarter was $104.4 million, up 15% year over year and up 2% sequentially. This was comprised of 79% licensing revenue and 21% product sales and services revenue. In the Technology Licensing segment, revenue increased 19% year over year and 2% sequentially. Keep in mind that last quarter included $6.7 million of back royalty and you may remember that we estimate approximately $5 million from one licensee pending resolution of certain contractual matters. We expect to record revenue from this in our second fiscal quarter. In the first quarter, year-over-year Technology Licensing growth was driven primarily by growth from our Consumer Electronics, Personal Computers and Broadcast markets. Year-over-year and sequential growth in the CE portion of our Licensing business was the result of strong demand for standard DVD players and portable DVD players. In our PC market, we experienced strong year-over-year licensing growth on sustained demand for notebook computers, which commonly included DVD playback software with Dolby Digital. Sequentially, PC-related licensing declined, which was mainly attributable to the $6.7 million payment we received in the fourth quarter for PC shipments in prior periods. In our Broadcast market, we experienced strong year over year and sequential licensing growth as we continued to benefit from the transition to high definition and digital television in North America. In our other markets, we experienced, we experienced overall year over year and sequential growth lead by our gaming market. In the Product and Services segment, revenue for the first quarter was flat year over year and slightly up sequentially with a year-over-year decline in products-related revenue offset by growth in services. Let me turn to the details of the P&L for the first quarter. Licensing gross margin was 91%, or flat sequentially. Products gross margin was 43%, up 2 points sequentially, while Services gross margin was 61%, up 1 point sequentially. In the first quarter Products gross margin was negatively impacted by approximately 4 percentage points sequentially due to additional costs incurred to upgrade the installed base of Dolby Digital Cinema Systems to JPEG 2000 capability. Currently almost all Dolby Digital Cinema Systems have been upgraded for JPEG 2000 capability, and we are continuing to upgrade systems for certain security features. During the remainder of fiscal 2007 we expect to recognize revenue on a number of Digital Cinema Systems that are currently deferred upon meeting certain contractual obligations. We expect that the recognition of these products will adversely impact our product gross margins because our initial Digital Cinema Systems carry a lower margin than our other professional products. SG&A expense was 36% of revenue in the first quarter, down 4 percentage points sequentially. This sequential decline is the result of higher expense recognized in the fourth quarter of fiscal 2006 associated with our 2006 annual bonus plan as well as consulting expenses related to our compliance with the internal control provisions of Sarbanes-Oxley. R&D expense was 8% of revenue for the first quarter, down 2 percentage points sequentially due to higher expenses in the fourth quarter associated with our annual bonus plan. Dolby's tax rate for the quarter was 32% compared to 38% in the fourth quarter. The decline in our tax rate was due primarily to an increase in research and development tax credits resulting from a change in the tax law. This change reinstated the research and development tax credits for prior periods, or periods prior to the first quarter of fiscal 2007. In addition, in the first quarter of fiscal 2007 an increase in tax deductions related to disqualifying dispositions under our employee stock options plans further decreased our effective tax rate. We expect our tax rate for the remaining quarters of fiscal 2007 to run around 38%, excluding the effect of any further disqualifying dispositions. First quarter net income in 2007 was $29.9 million, or $0.27 per diluted share, compared to $17.3 million, or $0.16 per diluted share for the first quarter of fiscal 2006. Net income includes stock-based compensation charges of $4.9 million for the first quarter of 2007 and $5.1 million for the first quarter a year ago. Turning to the balance sheet, Dolby finished the quarter with approximately $575 billion in cash, cash equivalents and marketable securities. From operations we added approximately $47 million of cash and cash equivalents during the first quarter. This was the result of net income $29.9 million, which included non-cash expenses of $8.1 million and changes in the balance sheet. Capital expenditures were $1.8 million in the first quarter. In addition, the balance sheet includes accrued royalty expenses of approximately $16 million related to a patent license agreement. In the third quarter of fiscal 2006 we evaluated whether the payment of royalties under this patent license agreement, using the historical method of calculations, would constitute an overpayment and subsequently notified the licensor that we no longer intended to pay royalties using this method. We paid the third-party licensor under a new methodology for the third and fourth quarters of 2006 and for the first quarter of 2007, but have accrued the royalty expense based on the historical method. As of today, we have not received a response from the licensor. Turning to our outlook, we believe that our annual guidance for fiscal 2007 of revenue between $420 million to $450 million continues to be appropriate. We now expect net income for fiscal 2007 to be $100 million to $110 million. Consequently, we now expect earnings per diluted share for the full fiscal year 2007 to be $0.88 to $0.96. While stock-based compensation expense may vary based on factors such as stock price volatility, we continue to expect stock-based compensation expense for the full year to be $20 million to $22 million. This concludes our prepared remarks. I would now like to turn it over to the operator for questions. Please go ahead, operator.
 Benjamin Swinburne - Morgan Stanley : Good afternoon. Thanks for taking the question. I'll ask two for now, one on the PC segment. Maybe just sticking more to the big picture on Vista, you ran through some of the technology trends you're seeing there. Did the attach rate in the quarter, if you pulled the one-time payment that you got last quarter out, were attach rates up or down or flattish in terms of the playback software sequentially? As we look forward now that this has actually launched maybe Ramzi could walk us through a little bit how we should think about attach rates going forward if you have any more visibility on that at this point? Second on Digital Cinema, you reference in your 10-K some competitive disadvantages that you had in market today relative to some of your competitors and I was wondering if the JPEG 2000 upgrade was the issue you were referring to there and that that's now behind you. Thanks.
 Kevin Yeaman: Well starting with PC, Ben, it's difficult on a quarterly basis to get all of the data required to precisely measure the attach rate. But after that $6.7 million payment, our PC Licensing segment was just about flat sequentially and I think based on the industry trends we saw for the relevant quarters, that wouldn't indicate any significant changes in attach rates. Does that answer the first part of your question?
 Benjamin Swinburne - Morgan Stanley : Yes, definitely.
 Kevin Yeaman: The second part of your question concerned how we see Vista going forward. Is that right?
 Benjamin Swinburne - Morgan Stanley : You've made some comments over the last couple quarters about just maybe the changing landscape there. Now that it's launched and maybe closer to having these out in the marketplace, any update?
 Ramzi Haidamus: We're pretty encouraged by the marketing push toward either the Ultimate or the Home Media Edition. As you know, both of them have Dolby technologies upon shipment, no need for the user to select. So that comes automatically along with the shipment. So the way we've been observing the marketing push from Microsoft seems to be heavily weighted towards those versions, which is encouraging for us. Of course they just started shipping a few days ago so it's a little too early to tell. Moving forward, the projections and product mix seem to be leaning towards the Multimedia version so things are looking up. It's difficult to tell until we start seeing the first report.
Tim Partridge: Yes, what we were referring to in terms of competitive disadvantages in digital cinema was that, as you know, we've been going through an upgrade process to bring all of our systems up to the level that is required by the studios. That is meant doing largely the JPEG and that was a hardware upgrade so that was the extra expense. We are almost there worldwide with all of systems. We completed that upgrade with all of our North American systems and then we've got the international ones to do. The systems that we are actually selling today are JPEG compliant. Over and above JPEG as I've been saying there's more than just that for the DTI System and there are a number of other small software upgrades that we are currently doing and we're almost through with that as well. Then as I've also mentioned in the past in terms of competition, there's a lot of price pressure in this market right now.
Operator: Your next question comes from Ralph Schackart - William Blair.
 Ralph Schackart - William Blair : Good afternoon. Now that you've had some time to digest what you've learned from the Consumer Electronics Show, can you give us some perspective of whether you think one format will prevail or if the market will move to a dual format for the cycle? And what sort of implications that would have on your business over the longer term?
 Ramzi Haidamus: We are definitely seeing a significant approach on both around all geographies, we haven't seen a let up in either camp, so I would qualify the war is still going on, if you will. However, there are some indications that some parties are taking some activities to try to accelerate the resolution of the war, as you've probably heard and as Bill mentioned earlier, the LG Dual Player; it remains to be seen if it is a feasible solution for the marketplace to adopt to a format player. Another potential solution has been with one of the content companies potentially offering a dual format disk which could play both. So we've seen some movement in order to try to get the two camps together but so far we haven't seen a resolution yet.
 Ralph Schackart - William Blair : Thanks. And then in terms of the mounting cash on the balance sheet and clearly the high margin business model generating a lot of free cash flow, can you give us some perspective strategically, your thoughts on the uses of cash?
 Kevin Yeaman: We don't have any change in our position on that. We continue to look to grow in a number of areas including video, it's an area that we've been focused on as we've discussed in the past. So we continue to look for opportunities to deploy our cash to our new initiatives but we don't have any plans other than that.
 Bill Jasper : I would just like to stress as Kevin said that video is a key area and we're looking very strongly at our entry in that market and see some possibilities.
 Ralph Schackart - William Blair : Great, thanks.
Operator: Your next question comes from Daniel Ernst – Hudson Square Research.
 Daniel Ernst – Hudson Square Research : Yes, good evening. Thanks for taking the call. Two questions if I might. First on the International Broadcast, looking at the consumer side of that, the set top boxes, can you talk about what the growth of that has been year on year, and is that an area that's now a meaningful share of revenues? Can you maybe break it out? Secondly, your comments on working on broadening your role in the handheld market, we saw so many demos at CES. Is that an opportunity that's within the medium time frame, calendar '07, or is that more of a calendar '08/'09 opportunity when you might be able to break into that side of the market?
 Kevin Yeaman: I am sorry, can you repeat the first part of your question? I didn't catch it.
 Daniel Ernst – Hudson Square Research : The first part of the question was on the international side of consumer broadcasts, so set top boxes, and TV sets in international. In North America, we know it's quite strong with the ATSC mandate, but internationally you're the de facto standard on some networks and you said over a hundred channels. Is that now a meaningful share of revenue where you're in set top boxes or TV sets internationally?
 Kevin Yeaman: So we did see good growth in our broadcast licensing group, both year over year and sequentially. Most of the data we have is from our licensees which can ship products to North America or internationally, so we don't have perfect data on penetration. We look to industry data on that, which would indicate that Europe is still at an earlier stage than North America, but that we're beginning to get some penetration there.
 Tim Partridge : The largest signs, positive sign I would say is what Bill mentioned earlier in terms of the adoption of broadcasters in Europe, specifically, and elsewhere. We have a significant uptake on broadcasters having offered broadcasting in Dolby Digital. Add to that, we have our IPTV push with Dolby Digital Plus. We had a couple of showcases of Dolby Digital set top boxes at CES, which is the beginning of a new cycle for that technology.
 Daniel Ernst – Hudson Square Research : The second question was on your opportunity in the handheld market, moving beyond the Avia licensing using Dolby Headphone and other technologies.
Tim Partridge : We do have a few initiatives in terms of pushing our technologies into the handheld market. As you said, there's Dolby Headphone, which is very much appropriate to the movie playback, and as we see more and more phone/media players as we observed at CES, those are a prime target for our Dolby Headphone technology when somebody’s watching a movie or short clip or even a short TV series that's broadcasted in Dolby surround mode. Another type of personal audio technology we're pushing is Audistry. To answer your question is yes, we are aiming at having some design wins in 2007, but to be clear, design win and revenue in our product life cycle can be a bit far apart.
 Daniel Ernst – Hudson Square Research : So just to summarize, maybe not until calendar '08 where we see an expansion of the opportunity on the handheld side?
Tim Partridge : From a revenue perspective, correct.
 Daniel Ernst – Hudson Square Research : Okay, fair enough. Thank you.
Operator: Your next question comes from Ingrid Chung - Goldman Sachs.
 Ingrid Chung - Goldman Sachs: Hi good afternoon. You'd cited that consumer electronics was helped by growing DVD unit sales. That actually does follow what we've been seeing with CEA data. I was just wondering how you'd explain the accelerating growth in the US?
 Kevin Yeaman: Well we probably see the same data that you do in that regard. As you know, we came into the year building our guidance based on flat performance in our CE markets, so we're pleased to see Q1 get out of the gate with some growth. I don't know that we have any answers to what's causing that growth other than what you read in other reports.
 Ingrid Chung - Goldman Sachs: Thanks. On SG&A, it seemed like your growth on the SG&A line had come down quite a bit and you'd cited that part of it was due to bonus payments. Should we expect SG&A growth to accelerate throughout the rest of the year?
 Kevin Yeaman: As we think about spending for the rest of the year I'd think about a couple of things. There are some things that tend to cause growth toward the latter part of the year such as our raise program, our trade shows tend to be in the last three quarters of the year, the calendar fourth quarter is not a big trade show quarter for us, and then also we do have hiring plans. We do intend to continue to invest, as I said, in a number of our new initiatives and our sales and marketing abilities, and so we do have hiring plans for the rest of the year that would effect the SG&A line.
 Ingrid Chung - Goldman Sachs: Thanks.
Operator: Your next question comes from Sam Doctor - JP Morgan.
 Sam Doctor - JP Morgan: Could you give us a sense of the deployment in Digital Cinema and how you see that going for the industry over the next year or two?
Tim Partridge: Yes, Sam, well currently, as Bill said, we've got about 280 systems out there and I think if you looked at various reports that are published worldwide there are around about 3,000 systems total deployed. So that's where it is right now. There's certainly lots of talk about that deployment continuing over the next couple of years. We're very encouraged by exhibitors supporting ours and several of them asking specifically for Dolby equipment from the various systems integrators that are moving ahead with that deployment. It's quite difficult to actually put a number on it right now.
 Sam Doctor - JP Morgan: Secondly, I have a question on gaming and specifically on the HD DVD attachment for the Xbox 360. Does it actually increase your revenue opportunity when you get the royalty for the 360 and then for the add-on? How is that performing in the market?
 Bill Jasper : The HD DVD does constitute an additional royalty when purchased on top of the Xbox, and in terms of the results on that, we don't have the data on that upsell from Microsoft yet.
 Sam Doctor - JP Morgan: The HD DVD add-on will be Gaming and not CE revenue? Is that right?
 Kevin Yeaman: How would we account for it, you mean?
 Sam Doctor - JP Morgan: Yes.
 Bill Jasper : Well I mean that attachment can play movies and it could also potentially play high-def DVDs. In terms of how to account for it, I'll have Kevin answer that question.
Kevin Yeaman: In terms of how we break down our segment data for you, we would track that in our gaming segment.
 Sam Doctor - JP Morgan: The $5 million in back licensing, did you collect that in the first quarter or is that the second quarter? I'm sorry I missed that.
 Kevin Yeaman: We did not collect that in the first quarter and we are expecting to collect in the second quarter.
 Sam Doctor - JP Morgan: Thank you.
Operator: Your next question comes from David Biederman - Pacific Crest Securities.
 David Biederman - Pacific Crest Securities: A couple of quick questions. First off, looking at the Apple ITV device at Macworld, talking with people there it looks like it was going to be two-channel only. Are you in talks to make that to support multi-channel audio going forward?
 Bill Jasper : We don’t have any information on that right now.
 David Biederman - Pacific Crest Securities: Looking at the video initiatives that you spoke about earlier can you talk a little bit how you view the competitive landscape for that with some pretty well-established video CODEC drivers out there? How do you see that shaking out in the mid-term? Thank you.
 Bill Jasper : Well overall we think that we are well-positioned to come up with some viable technology offerings in the video imaging space. We've obviously learned quite a bit from our work in Digital Cinema working on JPEG 2000 and enhancements to JPEG 2000, working the area of 3D. It is a very competitive landscape. There's some big players out there. On the other hand, we have quite a few years of experience in this regard. We brought in a company called Demographics about five years ago who were some very, very talented people in video signal processing. We've added to some people on the East Coast in our office in Pennsylvania, some former people from the consumer electronics industry back there. And we think we have some very, very viable technologies to take to market both in the professional field as well as in the consumer field. I think this again ties back in with our contacts in the content side in terms of our business model of getting content created and then distributed and played back. We think we can compete quite well in the imaging and video space moving forward.
Tim Partridge: I just wanted to go back to your question earlier about the Apple TV. The output is true that it's two channel but to the extent that it's Dolby surround encoded as is the case with all of Apple's movies, any consumer can connect that LTRT output to their surround system at home and enjoy 5.1 channel surround playback.
 David Biederman - Pacific Crest Securities: So you receive a royalty on the devices when they will be sold?
 Tim Partridge: The decoder is not in the device. The royalty would come from those receivers that are in the homes.
 Bill Jasper : No. But our Avia subsidiary will receive a royalty on the AACD coding in those once those start selling in the summer.
 David Biederman - Pacific Crest Securities: Great thank you.
Operator: It appears we have no further questions at this time.
Bill Jasper: I want to thank everybody for joining us on today's call. We think we've had a very, very good quarter. We've had a great CES, we have great technology for the future. We're looking forward to finishing off fiscal year in the style to which I think our investors and customers have come to expect. We're very, very happy with our results and we look forward to talking to you next quarter. Thank you very much for joining us.
Operator: Thank you Mr. Jasper. That does conclude today's conference call.